Operator: Greetings, ladies and gentlemen, and welcome to the TevaPharmaceutical Industries Limited Third Quarter 2007 Results Conference Call.At this time, all participants are in a listen-only mode. A briefquestion-and-answer session will follow the formal presentation. (OperatorInstructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. KevinMannix. Thank you, you may begin.
Kevin Mannix: Thank you, Diego. Good morning and good afternoon everyone.Welcome to Teva's third quarter 2007 Earnings Call. We hope you've all had achance to review our press release, which we issued earlier this morning. Acopy of the press release is available on our website at www.tevapharm.com. Additionally,we're conducting a live webcast of this call that is also available on thewebsite. Today we're joined by: Shlomo Yanai, President and ChiefExecutive Officer; Dan Suesskind, Chief Financial Officer; George Barrett, CorporateExecutive Vice President, Global Pharmaceutical Markets and CEO of Teva NorthAmerica; Bill Marth, President and CEO of Teva USA; and Moshe Manor, Group VicePresident of Global Innovative Resources. Shlomo, George and Dan will begin byproviding an overview of our results. We'll then open the call forquestion-and-answer period. Before we proceed with the call, I'd like to remind everyonethat the Safe Harbor language contained in today'spress release also pertains to this conference call and webcast. I would now like to turn the call to Teva's President andChief Executive Officer, Shlomo Yanai. Shlomo?
Shlomo Yanai: Thank you, Kevin. Welcome, everyone, and thank you forjoining us today as we review Teva's results for the third quarter of 2007. Iam really pleased to report that Q3 '07 was a very strong quarter. Despite thechallenging comparisons created by the remarkable third quarter of 2006, duringwhich we had exclusivity on three of the largest products in our industryhistory, we deliver strong results in Q3 '07 driven by increasing sales acrossour many businesses. I believe that our ability to achieve such growthdemonstrate once again the strength and soundness of our balanced businessmodel. Our net sales in Q3 '07 reached $2.4 billion, representing a4% increase as a result of Q3 '06. Our operating profit was $651 million withnet profit of $525 million and all of these ultimately bring us to diluted EPSof $0.64. Strong contributions from Teva's many businesses and geographiesdrove our result in Q3. I would like to mention some of the quarter's highlights,beginning with our USgeneric business. Teva USAcontinues to solidify its position as the market leader. We are committed tobuilding strong and lasting relationships with our customers by finding newways of bringing value to them and ensuring that they have a constant flow ofnew products. We have already launched over 25 products this year and ourmarket share continues to grow, a significant achievement in light of the lossof last year's major exclusivities. In Western Europe, sales grew 22% for theQ3 '06, supported by strong performances in the UK,Italy and France. We alsopleased with our performances in Germany,and while Germany is arelatively small business for us, we were glad to learn from AOK, Germany'slargest health insurer, that following our participation in their second tender,we have been awarded a significant increase in the number of molecules we can contractto supply in 2008 and 2009. At AOK's request, we will provide additionaldetails only after all the formalities are finalized. These changes are seen inGermany.Western Europe's largest markets are veryencouraging to us. And we believe they may signal change in dynamics in theEuropean market more generally. Changes that we believe would be quitefavorable for Teva. In our international business increasing sales were drivenlargely by the strong performance of our business in Central and Eastern Europe,where sales were up 35% of the Q3 '06 and we saw especially impressive growthin Russia. This was also an excellent quarter for our innovativebusiness, with record-breaking global in-market sales of Copaxone up 24% overQ3 '06. Copaxone is now the leading therapy for the treatment of multiple sclerosisin the U.S.by far the world's largest MS market. We are also very enthusiastic about Copaxone's continued successglobally and in Q3 '07, we once again captured the largest share of the growthin the global MS market, and as you all know, the latest clinical datacontinues to reinforce Copaxone's unmatched track record of efficacy andsafety. Q3 '07 was very good quarter for Teva's global respiratorybusiness as the ongoing conversion from CFC- to HFA-based inhalers among otheradolescents grow global West European sales up yearly 35% for the results in Q3'06. As the process of conversion continues, we expect to seecontinued growth in this segment. George and Dan will be providing you withmore details about our performance in Q3. Before I turn the call over to Dan, Iwould like to say a few words about our ongoing strategic review. I have showed review on our last few earnings calls, some ofthe preliminary findings from our review. Findings that have made us extremelyexcited about the opportunities that lie ahead for Teva. The work we have done has confirmed that there is a greatpotential to continue growing our business, and that Teva unique strengths asthe generic market leader combined with our innovative model will enable us tocapture and maximize this opportunity. As you have heard me say before, we are confident that wecan continue Teva's long tradition of continuous profitable growth, and givenTeva's excellent track record, I am excited about the possibility that we canachieve even more substantial growth in the years to come. The strategic review is now in its final stages and we havebegun the process of implementing its findings in to our work lane for the nextyears, a process we will complete towards the end of 2007. Once we do, I wouldlike to share more details about our strategic reviews, key conclusions, aswell as discuss some additional strategic issues at an Investor Briefing Event tobe held in New York Cityand about which we will be providing you with more information in the comingweeks. Thank you all very much for your attention, and now I wouldlike to turn the call over to George. George?
George Barrett: Thanks Shlomo. I'll take a few minutes to provide some greaterdetail on the performance of our business in Q3. Our core generic business hasbeen performing well across all regions. From the demand perspective, wecontinue to experience a tailwind on a global basis as appears both public andprivate continue to promote use of generic. In the U.S. generic prescriptions as awhole continue to grow. According to the June IMS National Prescription Audit, genericprescriptions grew at more than 10%, fueled at least in part by Medicare Part Dwhere most program designs strongly encouraged generic utilization. Today 12 of the 17 national Medicare prescriptions sponsorsnow offers standalone plans, which cover generic drugs for beneficiaries in thedoughnut hole. Generic utilization process system is now over 60%. In ourEuropean markets, we continue to see bolder actions by private, public andsemi-public payers to push generic. We believe still that strong penetration of generic productsand integrated consideration of incentive, positive or negative, for physicians,pharmacists and consumers. We can point the countries like France, Italyand Spainas markets for the incentive systems are beginning to have a positive impact onthe utilization of generic. Similar actions are taking place around the world in placeslike Brazil and Japan, where generics are increasingly seeing essential componentsto health care cost containment efforts. Demand is, of course, only relevant ifwe have the market physicians take advantage of the opportunity. With that said, let me turn to the market. Although thesigns of the U.S.generic market always seem to attract new players, we continue to absorb anincreasing concentration of market share among the market leaders. Well, thesemay seem paradoxical, the intense concentration of our customer base is drivingsome consolidation of share as there are few suppliers capable of handling the increasinglylarge needs of these market markers. Teva USAnow holds approximately 20% of the generic scripts and the top four playersaccount for about 55% share. Considering the fact that our very large exclusiveproducts from last Q3 now competition, we are very pleased with the increase ofmore than 20 million prescriptions versus the same quarter last year. With strong results across our full product line, but modestcontributions came from our generic version of Oxycontin, Allegra, Lotrel,Wellbutrin XL and Famvir, the later three of which we're not sold in thecomparable quarter in 2006. The rate of price erosion in our base has remainedrelatively steady over the past 18 months. Our business in Western Europe was very strong in Q3. Shlomo, gave you the growth rate,but I want to emphasize that these figures were driven by strong performancesacross all of our countries and we are demonstrating our ability to thrive inboth the branded and substitution segments of the generic market. A particular note, Franceand Italystood out as top performers. In Franceour objectiveness at the pharmacy level is paying dividends and in Italy, ourbusiness is well positioned to benefit from the current transition, on aphysician base to a pharmacy based market. In Hungary, our pharmaceutical unit,which targeted both physician and pharmacists, is well positioned and weappeared well in a tough environment, actually increasing our market shares. And a few words about Germany, Shlomo, mentioned that weare pleased with indications we're getting regarding our performance in themost AOK tender. As a reminder the AOK is the largest health insurer in Germany withapproximately 40% market share. The AOK has signed agreements with severalpharmaceutical companies for exclusive rights to sell a group of modules intothe AOK. The recent tender included 83 molecules. Recently several companies filed a complaint that the AOKtender system failed extreme laws. A hearing took place recently to addressthis issue and we expect the ruling on this complaint on November 16th of thisyear. Although this legal challenge may slow the process somewhat, our attemptis that the force is out of the barn, on the general direction of German costcontainment measures, and we feel optimistic about our prospects in Germany, as welook forward to the coming year. Our business in Central and Eastern Europe has been excellent with our Russian business being thelargest contributor. In Russiaadditional funds have flowed into the DLO, the state-run pharmaceuticalprogram, helping to expand the market, and at the same time, our sales forceand product line expansion has helped to our growth. Outside of North America and Europe, we would see ourgreatest contribution from Latin America, where Chile,Peru and Venezuela arestanding out. These were high-growth markets, and our local manufacturingcapacity has allowed us to expand as the demand growth. Our pipeline has positioned us to take advantage of themomentum and our market position. In the U.S., we have 150 products that FDAawaiting approval with the brand value of $88 billion. Of these, we believethat 43 are paragraph IV with a first to file position. In Europe,our portfolio of applications includes 147 different compounds awaitingapproval in various countries. This represents 308 formulation and 2481dossiers. Let me give you an update on our respiratory business.Shlomo mentioned that we continue to experience exciting growth. In the U.K. our respiratory business has benefited fromthe withdrawal of the CFC-based Becotide by GSK, and the effectiveness of oursales force has contributed to strong performance, both in the U.K. and in France. In the U.S.,we are of course in middle of a more dramatic change related to the CFC, HFAconversion on Albuterol MDI. Our ProAir brand continues to perform well in thiscontext, capturing nearly 60% of the HFA strip. However, the rate of conversionslowed down considerable between May and September, stalling in a 50% range. Wehad anticipated accelerated conversion as work exited the CFC market, butapparently the last remaining CFC player Armstrong had enough CFC propellant toallow them to capture part of the work CFC market share. Based on this, it is unlikely that the conversion rate atyearend will reach the 70% range we had anticipated and provided on our secondquarter conference call. Having said this the data from the past four weeksshow the market up tick with conversion moving above 60% and we are encouragedthat the conversion rate is now again moving in the right direction and we havethe capacity ready to supply the market. Finally, our innovative business had a terrific quarter withCopaxone leading the way. Copaxone’s in-market sales increased by 24%, we areseeing excellent growth in both the U.S.and outside of the U.S.This year’s meeting of the European committee for Treatment and Research inMultiple Sclerosis in-product featured finding some several direct comparativestudies of high dose interferon beta and capacity. The results from these recent head-to-head studies,sponsored by our competitors, has confirmed the rapid, significant benefit ofthe Copaxone therapy. The past misperception has been the high dosinginterferon maybe more efficacious than Copaxone, the rigor of scientificevidence has proven otherwise. We believe that these recent comparative dataalong with Copaxone, superior tolerability and the only long-term data in theMS market would support additional product growth. The R&D support for MSfranchise is progressing nicely. Our ongoing study of 40 milligram glatirameracetate is on schedule for submission to FDA in the back half of 2008. And wehave just screened our first patient in the course of two Phase III clinicaltrials for oral MS candidates laquinimod. Azilect, our treatment for Parkinson's Disease, continues toshow strength, reaching substantial market share from European market andshooting solid numbers from top dental movement disorders specialist in the U.S.We are hopeful that the ongoing studies may result in improvements for ourlabeling, which should facilitate significant growth for Azilect. With that update, I’ll turn the call back over to Dan.
Dan Suesskind: Good afternoon, thank you George and a good day to all ourfriends around the world. We appreciate you taking the time to join us today,as we report on this very strong quarter of which we are very proud. Georgeprovided overview for our business activities and now I would like to translatethose into numbers. One thing to keep in mind this quarter is that like lastquarter, the comparative figures are exceptionally strong. The comparable quarter of '06 included, as Shlomo and Georgehave already mentioned, the exclusive launches of very major products,including some of the largest launches in the history of the U.S. Generics. Bycomparison in Q3 of '07 we have just one small launch in the U.S. and exclusivity on one otherproduct. In Q3 '07 sales of the three products, which dominated thecomparable quarter were about $400 million lower. Most of this gap was coveredby increased sales of other U.S. Generic products, supplemented by substantiallyincreased sales in some of our other businesses and which finally exceeded thesales level of the comparable quarter. Most of this came from branded productsand branded markets with relatively high gross margin but also unlike U.S.Generics with high cost, mainly SG&A. That is in a nutshell how the two quarters compare. Before Idrill down further let me go over the main financial figures of the quarter.Third quarter '07 net sales were up approximately 4% to $2.4 billion comparedto Q3 of '06. Q3 '07 sales included positive currencies effect of $78 millionand net income was $525 million, EPS was $0.64. As a matter of fact Q3 results were substantially the sameas the immediately preceding quarter Q2 of '07. We generated $332 million cashfrom operations with a free cash flow of $155 million. Our balance sheet totalincreased from June 30th by 3% to $22.5 billion with shareholders equity onSeptember 30th, $12.9 billion up, $0.9 billion from June 30th. With that overview, let's start the line item analysisstarting with sales in our various markets. U.S. Generics is not only ourlargest business, but also the market in which we have had some of our largestproduct swings. In Q3 of ’07 we didn’t have new products and exclusivity thatwould fill the huge hole created by the said loss of exclusivities of Q3 of'06. Instead sales of oxycodone, Amlodipine and Bupropion filled most of thisgap, reflecting once again the strength of our leadership. Overall our North American pharmaceutical sales outside theU.S. Generic benefited from increased sales in our respiratory businessesprimarily ProAir, Copaxone as well as higher generic sales in Canada. Pharmaceutical sales in Western Europe including Hungary,which represented a 25% of global pharmaceutical sales in the quarter, grew 22%to $567 million from the comparable quarter of ’06. In Western Europe, Teva’smost significant markets remain the UKand Hungary, each of whichaccounted for more than a quarter of European sales, followed by the Netherlands and France. The most significant increase in sales this quarter wasagain in the UK followed by France, Italyand Hungaryin which we also achieved nice course. In AOK tenders in Germany has little effect on thequarter sales, as most of the quarter was covered by a grace period. International Pharmaceutical sales, by which we mean salesoutside of North America and Western Europe,grew 12% reflecting strong performances mainly in Central East Europe. Copaxone was a major contributor to the quarter's results.Global in-market sales of Copaxone amounted to $441 million. This is a 24%increase over the comparable quarter, 24% inside the U.S.and 25% outside the U.S. It is worth noting that this includes again significant unitgrowth. The highest rate of unit growth we have experienced in the U.S.in many quarters, in a market which is generally regarded to be a mature one.It also represents an increase in market share in terms of total prescriptionsfrom 29.9%, in Q3 of '06 to 31.5% in Q3 of '07. For the second quarter in arow, Copaxone is the top selling MS drug in the U.S. Once again, this quarter, our global respiratory productbusiness, which is included in the North Americaand European figures above, performed very well, with sales of $179 million. Thisrepresents a 34% increase in sales over Q3 of '06. Turning now to TAPI, Teva's API division, this quarter TAPIsales amounted to $326 million. TAPI sales to third parties amounted to $130million, down 8% from the comparable quarter. But TAPI's internal strategicsales of raw materials to Teva's pharmaceutical operations went up 9% to $196million. Volume wise, Teva's TAPI division actually sold more in Q3 '07 than inQ3 '06. Stepping down one line in the P&L to gross profit, grossprofit margin reached 52.8% in the reported quarter, compared to 55.2% in thecomparable quarter. Increased sales and margin in our innovative respiratoryEuropean businesses partially offset the effect of the exclusivities we had inthe comparable quarter in the U.S.In the last three quarters, we exceeded the gross profit margin range of 47% to50% range we indicated last year as Teva's normative range of gross profitmargin going forward. We are not changing this at this point and expect toreaddress it in February after we complete our '08 to '10 working plan. Andfrom gross margin to R&D, net R&D amounted to $141 million compared to$135 million in the comparable quarter. More than half of this amount went togeneric R&D. SG&A which reached $458 million in the quarter represents19.3% of sales while significantly higher than the level of the third quarterof '06, it is significantly lower in percentage terms compared to the first andsecond quarter of '07, and down $11 million sequentially. This level ofSG&A expenditures principally reflects the higher rate of sales in brandedmarkets and branded or promoted products among our total sales and offsets someof the higher gross margin achieved in these markets. SG&A also includes profit sharing with some of ourpartners in North America as part ofsettlement agreement on a few products, which in Q3 of '07 were 80% higher thanin the comparable quarter of '06. Operating profit this quarter amounted to $651 million andthey are high 27.5% of sales. Financial expenses for the quarter were only $3million compared with $28 million in the comparable quarter. As we have seenthe substantial swings in this line items since it includes not only our netinterest expense which is fairly predictable but also the results of hedging activitieswhich in this quarter reduced financial expenses, in contrast to Q3 of lastyear when hedging activities increased financial expenses. These activitiesonce again explicitly explain the difference between our current normative netinterest expense of around $15 million a quarter which is gradually decreasingdue to increase cash balances and the recorded figure. As we have explained in the past, the hedging results arepartially offset in the other line items. Our provision for taxes amounted to $125 million or 19.2% ofpre-tax income. It is based on our best estimates at this point of time of theexpected 18.4% annual tax rate. This is slightly higher than the 18% providedin the first half of '07. In the comparable quarter last year, the provisionfor taxes was as low as 12.5%, a catch up or adjustment for the first half of'06 when the provision was much higher. Applying last year's third quarter tax rate to this quarterincome would result in $43 million of higher net income in Q3 of this year. Allthe above resulted in net income of $525 million and net margin of 22.2%. As we already mentioned, cash from operations amounted thisquarter to $332 million. Our free cash flow after net CapEx of $104 million anddividends of $73 million amounted to $155 million. Investments in Israel and the U.S. accounts for most of theincreased CapEx in this quarter. Our cash balances at the end of the quarter stood at $3.5billion, no sequential change. During the quarter about $200 million ofshort-term debt was repaid. Inventories were up $151 million from June 30threflecting both, our efforts to improve customer service and the currency'simpact. In terms of days the increase from 168 days to 181 days. Net receivables, which are net of SR&A, were up $324 million,DSO up from48 to 61. This is relatively high sales in the last month of thethird quarter of '07 compared with more evenly spread sales in the secondquarter of 07. As you know we record receivables on a gross basis andrecorded the sales reserves and allowances, the so called SR&A undercurrent liabilities. But in order to facilitate a more meaningful comparisonwith some of our peers, we've recorded receivables net of these reserves, wenet out these figures as well. Total SR&A at September 30th amounted to $1.5 milliondown $98 million from June 30. About 90% of the total reserves are from theU.S. Late payable were at the same level ended June 30 and remained at 48 days. Our share based equity at September reached $12.9 billion up$0.9 million from June and our leverage, measured as debt divided by debt plusequity, stood at $0.29, down from $0.31 in June. Our outstanding debt atSeptember 30 amounted to $5.3 billion of which 63% represents long-term debt. For the convenience of our audience, I would again like tomention three figures relating to our share count so we are all on the samewavelength. For the third quarter of ’07 our average share count for purpose ofcalculating diluted EPS was 832 million. Our share count for calculating dilutedearnings per share, going forward in September 30th is approximately833 million, and the count for calculating our market cap is approximately 771million shares. For the purpose of calculating diluted EPS and add back of $6million would be taken into account. On October 29th the board approved a thirdquarterly dividend amounting to a total approximately $77 million, on a pershare basis our dividend was maintained in Israel Shekel terms at 0.4 Shekel,which translates at the current rate of exchange to $0.10. Before I close, I would like to say just a few words aboutmy plan to retire from TEVA in the middle of next year. For the last 31 years Ihave had the pleasure and privilege of serving as Chief Financial Officer ofthe company, which I view as one of the finest in Israeland beyond Israel. When I joint TEVA in 76, I never dreamed that our companywould become a world leader and never imagined that I would the opportunity tohelp, guide it to such tremendous growth and prosperity. My years in TEVA havebeing extraordinary rewarding and existing for me. My wonderful colleagues hasmade it easy for me to approach my work at TEVA with passion and quite and looking back now at mycarrier and the results I can say this was the right formula for me and I amvery proud of that. Over the next six to eight months I intent to work closelywith our CFO designate Eyal Desheh and the team, to ensure, that he receivesall the support he needs in order to enjoy a seamless transition into his newrole. On a personal note, I have known, Eyal, both professionally and sociallyfor almost 20 years, and I am certain that he will be the perfect addition toTeva. His return to the company, following a diverse career, including hiscurrent position as CFO of Check Point, no doubt one of Israel's premiercompanies, will only strengthen what I believe is the very best team of men andwomen in the industry. I have specially enjoyed my interaction with you theinvestment community. Our professional history together is a long one, has been along one, and I look forward to keeping in touch with you or many of you aslong after my days at Teva come to an end which is as I said quite out nextyear. But today, is not a day for me to bid you farewell. We will have plentyof time for that in the coming months. Thank you very much. And I will now pass the call backto, Shlomo.
Shlomo Yanai: Thank you, Dan. Actually today I would like to thank you formuch more than the result of last quarter. I would like to thank you on behalfof the Teva's family for the 100 plus quarter that you have reported Teva'sresults, for your enormous and invaluable contributions to Teva's growth andsuccess. And, on a more personal note for being in the show-time wehave known one another, a wonderful colleague and trusted advisor. I wish youevery happiness and success in the next phase of your life. But that said doneI feel that after 32 years you and Teva are so strongly linked that you won'tever really be able to get too far away, will always remain a Teva citizen.
Dan Suesskind: Thank you, Shlomo.
Shlomo Yanai: I would also like today to welcome Dan's successor as CFO, EyalDesheh as many of you know Eyal has an outstanding track record as the CFO of CheckPoint Software Technologies, but Eyal is also veteran of Teva, having workedclosely with Dan, as Teva's Deputy CFO and we are very pleased that he will berejoining us as CFO. I wish Eyal great success in his new role, and now we willbe happy to take your questions.
Operator: (Operator Instructions). Our first question comes fromRandall Stanicky with Goldman Sachs. Please state your question.
Randall Stanicky -Goldman Sachs: Great, thanks very much for the question. Just thinkingabout full year, I won't ask the question of full year guidance per se, but Danyou made that comment on the second quarterly conference call that 3Q and 4Qwould look pretty similar to each other. Does that thought or comment stillhold, do you think about until next quarter?
Dan Suesskind: Actually by giving the guidance or adjusting the guidancelast quarter to the upper range of what we have said before, it basicallyimplies what you say.
Randall Stanicky -Goldman Sachs: It implies what I say?
Dan Suesskind: Yes.
Randall Stanicky -Goldman Sachs: Okay, maybe just one real quick follow up. [That it] buildsaround what we checked out. Can you give us an update on where that stands, Ithink about some of the recent press reports regarding that product?
ShlomoYanai: Sorry, we couldn’t hear, could you repeat please?
Randall Stanicky -Goldman Sachs: On Wellbutrin XL, any update on market dynamics regardingthat product?
ShlomoYanai: George, are you taking it.
George Barrett: Yes, we had a pretty good transact over there. But, yeah,Randall obviously we are well aware of their reports. I can offer just a coupleof comments, just as a way of history. This product, Bupropion XL Wellbutrin aswe call it, is an impact product, which has a sales and licensing agreement. FDAreviewed this product and approved it last year, and based on bioequivalencedetermined that the product was AB rated to Wellbutrin XL. So that's numberone. Number two, we have a well established validated adverse supporting systemand while we take every adverse support seriously, our level of complaints forthis product is totally within the norm, it’s not low. And I should mentionhere that we’ve sold over 5 million prescriptions, which have been filled withthis product since its launch. Having said all that, since these reports broke in recentweeks, we’ve been working closely with FDA to make sure that all the relevantdata is shared between us, most importantly and our priority is and will remainthe safety and efficacy of our drugs. So, I think that’s what I can say at thispoint.
Operator: Our next question comes from Adam Greene with JP MorganChase & Co. Please state your question.
Adam Greene: Hi, good morning. I think it's more of a joy than a bigpicture question. How do you think the recent FDA amendment act will impactapproval time lines, if at all, if the petition hurdle has been removed orlowered I guess I should say. And then second, we are hearing some brandcompanies are rethinking to offer a generic strategy in light of best price.But that the transfer price might actually be priced higher to the authorizedgeneric, which might translate to better pricing exclusivity. Are you seeingany evidence of this in your discussions with one of the brand companies or inthe marketplace?
George Barrett: Adam?
Adam Greene: Yes.
George Barrett: Yeah, this is George. I am going to let Bill get the firstpart of your question. Maybe I will touch back with you on the second part.
Adam Greene: Thanks.
Bill Marth: Yes. Adam on the FDA portion, we don’t really see anythingunique coming out of that or anything dramatic at this point in time. We thinkthere is a lot more work that needs to be done. So although it's a step in theright direction, we are going to look for some more work.
Adam Greene: Okay.
George Barrett: And as it relates to a different strategy, related toauthorized generics in connection with best pricing provisions. Adam I am not surethat we are seeing, at this point, anything different here. We understand thespeculation, but I think we would have a hard time telling you that we've seenanything that signals a change in behavior.
Adam Greene: Great thanks.
George Barrett: Okay.
Operator: Our next question comes from Ricky Goldwasser with UBS.Please state your question.
Ricky Goldwasser -UBS: Yes. Good morning. In the prepared comments, you highlightedthat the price erosion has been steady over the last 18 months, in the lastquarter, as the pricing activity is benefiting from products such as OxyContin andLotrel, some of the products that were not in the portfolio same period lastyear. Were you also seeing similar trends in the exclusivity of those products?Thank you.
George Barrett: Ricky, this is a calculation that we do that tries toeliminate the big moving parts. So, for example, in our calculation the oxy haspulled out in that analysis. What we are trying to look at are those productsthat we refer to as the base; those product that have been our product line inour essentially, more fully competitive profile.
Ricky Goldwasser -UBS: Thank you.
George Barrett: You’re welcome.
Operator: Our next question comes from Michael Tong with Wachovia.Please state the question.
Michael Tong -Wachovia: Hi. Thanks. May be one for Dan, just looking at the grossmargin line, could you quantify or may be give us some qualitative aspect as towhere the strength in the gross margin is coming from, is it more from the factthat API was a little bit lower, or you have a higher proportion of proprietaryproducts, or it’s a matter of geographic mix? Just trying to get some colorthere?
Dan Suesskind: I think I tried to mention, in prepared notes, that the substitutefor the loss of sales or the absence of sales, actually in the U.S., which wassupplemented by sales from areas, either from areas or from products which arebranded, which bring them two things, within two things. First of all, highergross profit margin and also higher sales, also high SG&A’s which meansthat they contribute relatively more to the gross profit and they contribute tothe operating profit.
Michael Tong -Wachovia: Thank you.
Operator: Our next question comes from Elliot Wilbur with CIBC WorldMarkets. Please state your question.
Elliot Wilbur: Thank you. Good morning or good afternoon. I want to ask aline question around Copaxone sales trends in thequarter. In the first quarter the question is, that specifically in U.S.,sales were down modestly on a sequential basis and we saw that same pattern inthe third quarter of last year. Historically, it seems as if the first quarterwas ’08 seasonally softer, seasonally weak period I am wondering if there is,has been some change in that pattern, and if so why that may be, or whether itis just more coincidental than not? And then, secondly, Biogen mentioned that TYSABRI isbeginning to have more of a negative impact on Avonex and it's not obvious inour ex-trends in the quarter, but I am wondering at the margin, are you seeingany signs that TYSABRI is beginning to have an impact on the Copaxonefranchise, whether it'd be incremental share of new patient starts orincremental share of switches? Thank you.
Moshe Manor: Hi, it's Moshe. I think if you look at the number in the U.S., as you mentioned, there is some kind ofshift between the Q2 and Q3, but overall you can see the growth of Copaxone inthe U.S.,which is more than almost double that of the growth of the total market. And asfar as TYSABRI goes, actually if you look at TYSABRI in value that capture of5% market share, and if you look at the size of the market share of all thecompanies, all products in Copaxone, you can realize that Copaxone was the onlyproduct that actually increased market share year-over-year, as the otherproducts lost market share. This means that, more so, the prescription for TYSABRIwent on to expand on the other products and Copaxone really benefited from thecontinued growth.
Elliot Wilbur: Thank you.
Operator: Our next question comes from Tim Chiang with FTN MidwestSecurities. Please state your question.
Tim Chiang: Hi. Thanks. Dan, I had a question in terms of Copaxone. Howdoes the better-than-effective growth of this product affect the plannedbuy-back next year from Sanofi? I am a little curious about what the mechanicsof this buy-back are? Is it still a certainty that you are going to buy thisback, given how fast this product is has actually grown this year?
Dan Suesskind: As we said in the last few quarters, we have an agreementaccording to which we are going to execute this transfer. As long as we don'timprove this agreement or change it and so far it is valid, it is not connectedwith better or worse sales of Copaxone in any given territory. And so far whatwe said is valid and a confirmation will be made.
Tim Chiang: Okay, great, thanks.
Dan Suesskind: I’m not sure if I was clear in one of my answers beforeregarding the expected performance of Q4. We have done so far $1.69 for thenine months. We have outstanding, the guidance we gave last quarter, which isthe upper end of the range we said before and these two figures are valid.
Operator: Thank you. Our next question comes from Andrew Forman with WRHambrecht & Company. Please state your question.
Andrew Forman: Dan, I can't imagine the conference call without you on it,congratulations on a distinguished career and I’m sure you'll stick with theTeva family.
Dan Suesskind: Thank you. Well, we've got a special conference, noconference call for that.
Andrew Forman: We'll host it. Post-Ivax a strategic question for you Dan,this is now really two years since the acquisition and there were somehighlighted comments today about international markets. What can you say hashappened in some of the markets where Ivax had a position in Latin America, andthen in Russia,as you mentioned today that has changed in terms of the growth dynamic? I thinkspecifically what are the gross margin and the operating margins in some ofthese emerging markets, if you were to break them out? I guess the follow-upwill be for cost of international markets for George. Can you give us a littlemore color on the German generic market, which I think you indicated wasn'treally a contributor in Q3, but given this big opportunity could be in 2008?Thanks.
Dan Suesskind: George, you want to start or you want me to start, George?
George Barrett: Sure that's fine Dan. But let me take the second part firstand I'll give a little introduction maybe on Dan's comments. Andrew, as itrelates to Germany,as you know we are coming from a relatively small position in the German market.Having said that, there were several things happening at the same time. Numberone, we are building our portfolio, and at the same time we have thistransformation occurring in a market, which has been a market very muchdominated by this branded generic segment. The AOK distribute, in short, has started to lead the way interms of moving towards a more tendered system, which allows us to takeadvantage of the breadth of our portfolio, the efficiency of our operations andparticipation in a market in which we have been relatively small. And as I said, the tender that was issued and awardedrecently has been challenged through some legal proceedings, but I think it'sinescapable that this correction is going to occur. So whether or not there aresome delays in the process because of these legal proceedings, as I said, thehorse is out of the barn. I think the movement towards cost containment in Germany is clear and I think for us that bodevery well in terms of enhancing our position in Germany in a meaningful way. Just to lead into Dan's comments, I know you have somespecific questions about gross margin, but it relates to our business of theIvax acquisition. We're really thrilled about many of the parts that we pickedup through Ivax. By the summer the respiratory business which we acquired whichwas through small business at this point, we've been able to growsubstantially. We've been able to build infrastructure operationally around itto provide opportunities to take advantage of that market and of the marketsboth in U.S. and out side ofthe U.S. Our businesses in Latin Americaare doing extremely well and Ivax essentially facilitated our entry into thosemarkets. And those markets are high growth markets with growing middle classescapable of purchasing pharmaceutical products and we grew our position there.The same is true in Central Eastern Europe. So I think on a broad strategic sense, those businesses thatwe acquired through the Ivax acquisition are really turning into very solidplatforms for us and with that I will turn it to Dan.
Dan Suesskind: Hi, I don’t think I have much to add to what George said.Obviously these markets, the branded markets mainly, have a higher gross marginthan our cope with average. The impact on the operating margin is always met by far lower becausethey have substantially more expenses than our average businesses in TEVA. But on top of what George had said I think what they aredoing within TEVA is an expansion of our business model, of our balancebusiness model, and they make it even more balanced compared to where we havebeen before we bought Ivax. I hope, between the two of us, we answered the question. Wecould hardly hear it because the line was very bad.
Andrew Forman: Just a follow up George on Germany, what's the size of thegeneric market and if by chance you got 10% share of that, what would thatrepresent? Can you essentially go in from nothing and given what you've done inthe UK, Italy, and France. I mean what’s the realisticmarket share that TEVA could enjoy over the next couple of years.
George Barrett: Andrew, I don’t think, I would predict market shares. It'sprobably something we wouldn’t do in any part of our business. I’ll only offerthe following. We’re going from a very de minimus position to what I think willbe meaningful, there is no reason that we can’t begin to achieve the kinds ofpenetration that we’ve had in the other European markets, and ultimately ourhope is to bring them all into meaningful market leadership positions.Obviously in a place like Germany,this will take time, but our ambitions are significant here.
Andrew Forman: Isn't this the biggest market in Europe?
George Barrett: In Europe.
Andrew Forman: Thanks.
Operator: Our next question comes from the Louise Chen with MorganStanley. Please state your question.
Louise Chen: Hi, just curious as to how we think about SG&A leveragefor the fourth quarter and then when do you expect to access the oxycodonemarket. Thanks.
Bill Marth: Lousie, this is Bill Marth. With respect to oxycodone Ithink…
Shlomo Yanai: I don’t think we are going to give specific guidance onSG&A for the quarter.
Bill Marth: Okay. Lousie, with respect to the oxycodone, I think we havestated previously that this product actually details could believe into 2008.However is really then our intention as a practical matter to the end sales ofthis at the end of this year. So that's our intention at this point in time,though we have the options to go to someone a little bit later.
Operator: Our next question comes from Marc Goodman with CreditSuisse. Please state your question.
Marc Goodman: Yes. So as the comments in the prepared remarks about $400million lower versus the three key products last year. I just I want to makesure I got that the right. So what you may in a three key product last yearthere was $400 million less in sales in this quarter and can you talk aboutthose products that you made it up buy. And George, maybe you can just give usa sense of what's happening with Lotrel, oxycodone just quarter-to quarter. Iknow you don’t like to talk about this much, but just directionally was lastquarter the big Lotrel quarter and this quarter was a bigger oxycodone. Justkind of give us a sense of what's going on there. And then in the past you've given us a little more flavor onLatin American sales. Can you talk about that quarter-to-quarter and maybeactually give us actual sales for that area?
Shlomo Yanai: George let me first repeat what I have said, what I have Isaid is that, the three exclusive products of Q3 of '06, so it's close to $400million less in the reported quarter. And from here, George can take it.
George Barrett: Yeah Marc, we have a lot of moving products as you know, soyes we had to absorb some reductions associated to lost exclusivities. A coupleof key products were important to us oxycodone was one of them against when youmentioned Lotrel and Famvir and actually Allegra which has been on our line forsome time has done well as well as (inaudible). So there are number of products that I think contributed toour ability to offset. We're probably not going to give you predictive goingforward statements about all this products and we don't do that. But maybe Billcould just give a little more color on how we're doing in some of those keyproducts like Lotrel and Famvir, actually what the dynamics looks like.
Bill Marth: Yeah Marc, I would just remind the third quarter of lastyear had the launch of sertraline in it, so that was a big number. That nowwithstanding we need to think about the fact that Lotrel is still a very strongproduct. We have over a 70 share in that product and a very similar share Wellbutrin,and we have some strong share of course with Famciclovir, we launched thatproduct, and there is no authorized generic at this point in time. So I think we've done pretty good so far, and when you lookat the growth then pretty broad based across our portfolio.
Marc Goodman: I guess I'm just wondering, like Lotrel, was last quarterLotrel much bigger than this quarter and Oxy was bigger this quarter than lastquarter can you just give us a relative sense?
Bill Marth: Marc, I don't think we can provide quarter-to-quarterbreakdown of each of these products.
Marc Goodman: In Latin America?
Bill Marth: Well, I think again Latin Americais going really well. I think, I mentioned in particular that Argentina, Peru,Venezuela, Chile have been, I would say it wasa standout. Mexicowas a market that we had an existing business and although in a sense it's morechallenging and now we think about two integrations, obviously we have acquireda Mexican business through the acquisition of Sicor and then another businessthrough Ivax. And so essentially we're going through multiple series ofintegrations, which is a much more challenging endeavor. But in general I wouldsay that Latin American business is serving us really well.  We've got terrific management down there,we've got local production, strong dynamics in the environment and those arethe markets for us.
Operator: Our next question comes from Richard Silver with LehmanBrothers. Please state your question.
Richard Silver-Lehman Brothers: First Dan congratulations. Sure we can state a more on abridged version later, but all the best to you. Couple of questions, back onthe gross margins, can you help us out a little bit more on that as far as thebrand contribution and whether. I didn't quite understand the answer to thequestion as far as how we look at gross margin and kind of the sustainableimpact from the brand business versus maybe quarterly claims. In the past we'veseen obviously on these exclusivities a major impact on the gross margin, but Ithink what you are suggesting is that the brand portion of the business is nowhaving a more significant impact on trying to get a sense of the sustainabilityof that? And the second question is on EPS guidance, on if you can just startto have to repeat this but, my understanding from your last clarification wasthat the upper end of the guidance range, which was 220 to 230 still standseven with the company having generated $1.69 in EPS for the first nine monthsand I just want to make sure Dan I heard that correctly?
Dan Suesskind: First of all you heard it correctly that's one. Secondly,regarding the sustainability, so far it looks and we don’t have yet, as I saidour new work lay, which covers '08 to '10, but I think it is sustainable. Thereason we have talked about it, we want to give you a better color of what weare substituting what, in terms of both sales and in-market and that’s thereason why leverage we couldn’t get. It is not something which is unique to thequarter and as such I see it as a sustainable mix.
Richard Silver-Lehman Brothers: And then just follow up on the guidance range, given thatthis quarter was obviously strong and I know you didn’t provide quarterlyguidance, but you -- as I look at the numbers, what would be the reason for thefourth quarter being perhaps weaker than the third quarter, which is whatimplies, particularly given that the fourth quarter is typically a seasonallystrong quarter for the company?
Dan Suesskind: It is mainly, we said last quarter that we are giving sortof guidance for the next six months without given a breakdown, between the twoquarters. We didn’t know what it will be. Now we know that a little betterregarding the shift from one quarter to another either way and it still remainsas in the same, its mix as in the same guidance.
Richard Silver-Lehman Brothers: Okay. Thank you.
Operator: Our next question from with Ronny Gal with Bernstein. Pleasestate your question.
Ronny Gal: Thank you for taking my question. Couple of questions firstrest of world sales. If we net off the effect of the dollar, how much do wereally seen in terms of growth and rest of the world sales over the last two orthree quarters? It just looks like net effect of the dollar base in terms ofmarkets we are roughly in line or maybe just a slight increase? And similarlyon TAPI if we kind of draw a line for the last three quarters, we have seenthat a little bit of transforming here about weakening business. How should wethink about TAPI going forward? Is this just a seasonal issue or any newgenerics products coming through? How should we think about the external salesof TAPI to the business? And thank you?
Shlomo Yanai: You asked me the second question, though we asked to askonly one question a participant. Regarding API, it is obviously like in thegeneric business it is tied closely to launches and developments of products inthe final dosage form. And obviously the API is preventing on that to someextent, because their supply is 2000. In addition to that, as we have said inthe past, other companies backward integration is to some extent had an impacton our sales. But we have to remember that for us in most of the actually theinternal sales are more important others. They are our strategic sales whichsupport our pharmaceutical products and is certainly important for us in spiteof the fact that at the end of the day in the booking unit (inaudible) itdoesn’t matter. They are very strategic sales for us. Now we have to repeat the first question because the linewas so bad that I couldn’t understand what you’ve asked? Sorry.
Operator: (Operator Instructions)
Shlomo Yanai: So let’s move to the next question. I am dam sure we'll pickup this question later.
Operator: Our next question comes from Ken Cacciatore with Cowen andCompany. Please state your question.
Ken Cacciatore -Cowen and Company: First of all congratulations Dan, and then a question foryou. You gave three year work plan about nine months to go and now were ninemonths later. I don’t means it's preempted but sometimes as you go nine monthsforward you pick up more visibility and sometimes less and I believe you saideasily exceed 250 in '08 and easily exceed $3 in 2009. And not looking for exact numbers, but would you feel thatyou have picked up a better visibility? Or worst as we've progress through ninemonths and then for George, can you just give us a sense if there is anydiscussion going on Protonix, or can you give us any characterization of howthat process is underway right now?
Dan Suesskind: First, it’s Dan. By definition you get better visibility asfurther you go out, although we are not referring today to any of the numbersas we did refer to them in the last quarter. We will address them as customarywith Teva when we come out with our annual figures in February of next year.
George Barrett: Yeah. And as related to your second question I can offeronly a few comments. One, we do in fact a final approval generic Protonixnumber one, number two we have reviewed the findings from the core proceedingsand beyond that I think it's not in my best interest at this point to provideany more detail on it.
Operator: Thank you. Our next question comes from William Kirby withNevsky. Please state your question.
William Kirby -Nevsky Capital: Hello. My question is on the Q3 tax rate. You mentioned thatearlier, but what should we be expecting in the future? Will it be more likewhat we saw in Q3? Or will we see a return to the 18%?
Dan Suesskind: If you refer to the future as next quarter, then the taxrate that we have put in now is the best estimate of how the year should looklike, which means that we are at 18.4% for the year. If you are asking…
William Kirby -Nevsky Capital: I meant in future years, yeah.
Dan Suesskind: Okay. If you roll out further, I would say that for modelingpurposes, this is probably a reasonable rate going forward, although as wealways say, it is very sensitive to the origin of where we make the profit,because we have a very diverse range of global tax rates at Teva. Even havingone quarter, one launches from the U.S.,for this in the U.S.or another quarter a similar product from this one, will quite be a meaningfulimpact on our tax rate. For modeling, I would say this is probably your bestbet, although it can vary around this number.
William Kirby -Nevsky Capital: Okay. Thank you.
Operator: Our next comes from Robert Uhl with FBR. Please state yourquestion. Please state your question.
Robert Uhl: Thank you. I am just wondering if you could give us anupdate on your biosimilar strategy. For example do any of those 147 filings in Europe include some generic version of protein products,if yes how many, when do you think they might be coming to market?
George Barrett: I'll just give you a quick sense of clarity that relates tothe filings. We have made a biosimilar filing, I cannot disclose how many. Weare certainly like most companies store it in the informative stages building biogenerics business and capability. Robert, you probablyheard us say this before, we feel that the tools involved in building this aregoing to be many of the tools that we have the ability to the technologies,what type of technologies, manufacturing operations ability to un-finish theability to do clinical trials, if necessary, the ability to influencephysicians, pharmacist and payers alike. So I think at this point we feelstrongly committed to our biogenerics strategy and we’ve said also couple oftimes that this is the latest years in that business or strategy, but that wereally believe that the opportunities as we come into next decade for companiesthat are able to participate will be meaningful and perhaps we'll talk a littlebit more about this when we get a chance to meet in our Investor Day, but thisis an area in which we are very excited, about which we are very excited.
Robert Uhl: Thank you.
Operator: Our next question comes from John Boris, with Bear Stearns.Please state your question.
John Boris: Sure, thanks for taking the question. Just like to go backto Wellbutrin XL, George, just on your comments. Can you just discuss any stepsthat the FDA they have to take surrounding the product going forward and canyou characterize any risk that Wellbutrin XL might have on your earnings forthe remainder of this year and going into '08? Thanks.
George Barrett: Yeah, John, it would be, I do look into speculate on anyactions that could be taken. We can say is that our scientific data indicates thatour product is by [2012] Wellbutrin XL. So anything beyond that honestly wouldbe pure speculation. I don't think it will be helpful or productive. The teststhat we provided are used as a standard, which is testing in human that sort ofthe key ingredient here. So obviously we will keep wide open dialog with FDA onthis. In the overall risk of things, this is in the big picture of Teva, not aenormous product, but as I said, let us do we need to do in terms of sharingany information with FDA, if they want information and we can provideinformation and beyond that there is no point of speculating.
John Boris: Thanks.
Shlomo Yanai: We are giving some more time today to the conference callsince we don't have a lunch tomorrow in New  York, but we limit it to another three questions.Please limit one question per participant. Try to be short in the question andwe will try to be short on the answer.
Operator: Our next question comes from Corey Davis with NatexisBleichroeder. Please state your question.
Corey Davis: Yeah. Thanks very much. Hopefully this will be short. Thequestion is regards to your strategy when it comes to the launching commoditygeneric launches, when you know there is going to be tamed right off the back.And may be I haven't looked at enough of these, but I seem to know there is bigeconomy of market share where on certain products your rate is top just likeyour strategy, has been in others you know where and I'd love if the philosophywill be one top shop for customers, you have to offer everything even if it’s alast leaders are something changed or are these just kind of wild areas?
George Barrett: Yeah. Corey, George. Our strategy is very much aboutproviding a broad line of product for our customer. So it's more of a one offissue. I think if you look at the products, it's more about timing, I thinkgenerally speaking when we are in at the earlier stages whether or not thatproduct has three competitors or 12 we do very, very well. Naturally when youare coming in to product late then that, as I told you before share moves sortof slowly in this industry. So when you come in late share tends to come to youa more gradually. Having said that we are often very patient and if we don'thave the share that we need in the first weeks of launch we are notdiscouraged, very often we are vertically integrated and deeply committed tothe long-term proposition of staying in there in the market. And our strategyis very much consistent with what you'd expect from us.
Corey Davis: So I guess the other two I was thinking of Lamasil andNorvasc were you are very low you would say that was just due to being late inthe constant strategy of not wanting to be there?
Bill Marth: Yeah Corey this is BillMarth yeah, I definitely had a lot to do with money and priority at thatpoint of time. So in the long run I think you will see those shares even out.
Corey Davis: Right, thanks very much.
Bill Marth: You're welcome.
Operator: Our next question comes from Greg Gilbert with MerrillLynch. Please state your question.
Greg Gilbert –Merrill Lynch: Thank you. Any comments on the potential impact of the AMPrule, whether it goes through or not? And also have you seen any impact or ifyou expect to see any impact that we could see regarding further consolidationof the bio base in the U.S? Thanks.
George Barrett: Why don’t I let Bill start on this.
Bill Marth: Yeah Greg, on AMP, as you know in October we began theprocess. And we think right now that there's really no change to our thoughtson AMP, which are much, much like we've got that the integration of AST was.That said there's still a number of opportunities for this -- for themultiplication to change, the market growth is still strong as well asavoidable is moving up. So, there is still couple of opportunities for this tochange yet. But we haven’t changed our opinion on AMP at this point of time.
George Barrett: And relative to the increasing size of our customers, I’lljust quick introduction, Bill, we are looking the timing here. Greg, you knowthat we’ve said for quite some time that our market makers in the U.S.,are large and understandably demanding. That creates certain challenge togrowth that also creates tremendous opportunity for us. So we have tended tobenefit from the increasing strength of our customers. We have the resources,the product line, the services, the tool, the integration of IT systems,capacity in order to crape value for those big market markers. So it's sort ofa story of two countervailing forces, one being the challenges of dealing withbigger customer who certainly has a right to be demanding and the other are Ithink unique ability to provide value to those market markers. So I don’t thinkI’d say there is any enormous change that we’ve seen in recent months relatedto this, but that’s what the generally picture is from that angle.
Bill Marth: No the only comment, I would say Greg that that’s very muchwe expect these kinds of moves. We expect demand continue and that’s the way wepositioned our business and built our resources to handle that.
Greg Gilbert –Merrill Lynch: Fair enough. Thank you.
Bill Marth: You’re welcome.
Operator: Our next question comes from Elliot Wilbur with CIBC WorldMarkets. Please state your question.
Elliot Wilbur: Thanks for taking the follow-up. I guess since we are deniedthe opportunity of enjoying lunch with you tomorrow, I’m wondering if George,Dan or Bill if you can maybe just refine it with any updated data points on acouple of your program for opportunities that maybe haven’t been so well vettedlately specifically Prevacid and Concerta. And then follow-up on Protonix youguys have made it pretty clearly that you believe that this is a shared exclusivitysituation and I’m wondering, how steadfast out you think that indication fromFDA is. And are we talking about a two player generic market or is there apossibility here that maybe a shared exclusivity situation also including Santos? Thanks.
George Barrett: Why don't I take the second part first, and then I'll letBill talk more generally. Again I think at this point we believe it'sreasonable to assume there are two first filers on Pantoprazole beyond that,Elliot again, I'm going to unfortunately restate what I said earlier there isvery little I can say other than that. Another part of the question I'm justgoing to let Bill touch on it.
Bill Marth: Yeah Elliott, on Prevacid that trial actually Pantoprazole startedyesterday, similar arguments to a certain degree within as with Pantoprazolethere was inequitable conduct and structural obviousness. Those are significantchallenges but we will hope for the best.
Elliot Wilbur: Any update on conservative just you could revise the bill isthere any update?
Bill Marth: No update.
Elliot Wilbur: Okay.
Operator: Thank you. There are no further questions at this time. Iwould like to turn the floor back over to, Shlomo Yanai for closing comments.
Shlomo Yanai: Thank you. I would like to follow-on the question regardingIvax and I would like to underline actually to emphasize the importance or thestrategic importance that I see as maybe one of the most important advantagesthat we acquire by the Ivax acquisition. And I'm pointing out that to whatGeorge said, which is not only the platforms that we gain in Latin America andCentral East Europe, but for creating a situation that as a company that'slooking forward for growth, we're right now having a good positioning so tospeak and actually even know how about many different business models, whichreflect what the situation in those parts of the world. Having said that, if you bare in mind these countries arethe countries that are presenting the highest growth space in the comingfuture. Is come altogether that we as the largest generic company in the worldmay leverage part of our know how from one market to other market and byunderstanding better than any other company, other generic company thesituation in those places in the world, we can have a substantial advantagewhen we have the market share and market leadership as part of ourunderstanding of what is its main growth in coming future. We will be more than happy to elaborate more on this issuein our investors briefing as I said before, so I will stop here. And I wouldlike to thank all of you for joining us today. I look very much forward toseeing at our investors briefing event, and thank you all. Thank you.
Kevin Mannix: Thank you, Shlomo. On behalf of behalf of Teva team, I'dlike to thank everyone for joining us on this quarterly conference call. Asalways if you have additional questions, we're happy to take them offline. Thank you again, Dave could you please provide the callbackinformation?
Operator: Thank you. To access the replay of this conference, pleasedial 877-660-6853. Once again for a digital replay toll free number is 877-660-6853.For international dialers, please dial 201-612-7415. Once again, internationaldialers 201-612-7415. The account number will be 3055 and conference ID number258957. Once again account number is 3055 and conference ID number is 258957. Thisconcludes today's conference. All parties may disconnect now.